Operator: Good day, and welcome to Cogeco Inc. and Cogeco Communications Inc. Q3 2024 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrice Ouimet, Senior Vice President and Chief Financial Officer. Please go ahead, Mr. Ouimet.
Patrice Ouimet: Thank you. So good morning, everyone, and welcome to our third quarter conference call. As usual, before we begin the call, I'd like to remind listeners that today's discussion will include estimates and forward-looking information. We ask that you review the cautionary language in the press releases issued yesterday and in our 2023 annual reports regarding our various risks, assumptions, and uncertainties that could cause our actual results to differ. With that, I'll now pass the line to our CEO, Frederic Perron for opening remarks.
Frederic Perron: Thank you, Patrice. Good morning, everyone, and thank you for joining us for our Q3 2024 Results. On our last call, I provided a glimpse into our plans for the coming years, and I explained how shareholder value creation will be at the forefront of both our strategy and our culture. Our focus is on setting the stage for sustainable growth, and we see clear upside potential. As you know, our top five priorities are to first drive synergies. We will deploy best practices in both markets, such as harmonizing systems, and modes of operations to the largest extent possible. To that aim, we announced a major change to our organizational structure in May, where we will combine our U.S. and Canadian Telecommunications Operations into one team effective September 1. This nimbler structure will help accelerate our performance and will generate cost savings which will be reinvested in growth drivers where we have historically under indexed, such as marketing, digitization, and analytics to drive revenue. Second, increase the digitization of our processes, which will result in a higher percentage of our sales and service interactions done through digital channels. To that aim, we just deployed Charlie, our first AI chatbot in the U.S., and the results are above our expectations so far. In less than one month, Charlie has successfully handled, tens of thousands of customer interactions, many of which did not require a transfer to a human. Charlie will continue to evolve and will be deployed in Canada over the coming weeks, using the same platform and vendor as in the U.S. in order to maximize synergies between our two countries. Third, accelerate advanced analytics. We will leverage advanced analytics to improve our customer base management, retention, and sales efforts, as well as our network management activities. Fourth, pursue disciplined network expansion. Our rural footprint expansion continues in Ontario in conjunction with government programs, while the Quebec expansions are essentially done and have already achieved strong penetration results ahead of our expectations. Our focus will then turn to the U.S. as we intend to participate in the BEAD program to the extent that it meets our disciplined return on investment objectives. The bidding process for different states could start this summer and may continue over the course of a year. Winners will have four years to deploy in areas where they've been awarded subsidies. Fifth, cross-sell wireless. Our U.S. MVNO wireless service has now launched within the majority of our U.S. footprint and we're making progress towards a commercial launch in Canada. As you know, negotiations with MNOs must be kept confidential, so we will not be able to comment further on them today other than saying that they are progressing. These wireless services will be bundled with wireline products, allowing for incremental sales as well as higher customer retention. As you can see, there's no shortage of opportunities ahead for Cogeco. And to capture these opportunities, we have welcomed several new members to our team to help execute our strategy going forward. With that said, let's get right into our Q3 results. Our third quarter consolidated results were in line with our expectations as we continue to focus on balancing subscriber growth with financial performance. Our fiber-to-the-home network expansion programs in Canada and the U.S. added close to 12,000 new homes passed in the quarter, bringing our total to 239,000 homes passed since the beginning of fiscal 2022, representing more than 8% organic growth in our network. At Cogeco Connexion, our Canadian telecommunications business, we continued again this quarter to grow our internet subscriber base by close to 6,000 customers under the Cogeco and Oxio brands. This, combined with strong cost discipline has allowed us to grow EBITDA by 2.9% year-on-year. As we progress with our organizational changes, we intend to incorporate more of Oxio's digital first processes across our company wide operations over time. Our network expansion program is steadily ramping up in Ontario and we will continue through fiscal 2025 and end in fiscal 2026, while our Quebec expansion is now essentially complete. We are very satisfied with customer additions in the completed regions as customer penetration levels are trending higher than planned. Across the two provinces, we expanded our network by an additional 5,400 homes passed this quarter, increasing the number of Canadian homes passed to nearly 124,000 since the beginning of fiscal 2022. The majority of which are part of government subsidy programs. We're also continuing our preparation for mobility in Canada, including MVNO access negotiations. As I said earlier, we cannot provide further detail on these negotiations at this time, but we can say that we look forward to providing our Canadian customers with wireless options. At Breezeline, we grew EBITDA by 3.9% in constant currency compared to last year as planned, in part thanks to actions taken in recent months to increase our efficiency and move customers to higher margin products. With a larger proportion of our Breezeline customers taking increasingly fast Internet speeds, our mix of higher margin services improves, and our average customer tenure lengthens. Additionally, our ongoing focus on cost efficiencies combined with product enhancements help deliver a higher adjusted EBITDA margin. Our U.S. fiber network expansion program added 6,400 new homes passed in the quarter, bringing our total to more than 115,000 homes passed since the beginning of fiscal 2022. In terms of mobile developments, Breezeline Mobile launched in the majority of our U.S. footprint this quarter, rounding out the Breezeline product bundle with reliable, competitively priced, and flexible mobile solutions for our customers. This capital lean MVNO solution increases our addressable market, strengthens our product mix, and will improve customer attraction, retention, and satisfaction over time. It is still too early to start disclosing detailed results on the product, but we will do so when it reaches critical mass. As anticipated, the U.S. Affordable Connectivity Program, or ACP, was discontinued in mid-May. This program provided a $30 monthly credit to eligible U.S. residents to gain discounted Internet access. While we're not immune to the impacts of this program's removal, Breezeline has considerably less exposure to ACP than the industry average, with program participants representing less than 4% of our internet subscriber base and a much lower percentage of revenue as the ARPU of these customers is considerably lower than the average. Although the discontinuation of ACP has created temporary vibrations in our reported internet subscriber figures, as anticipated, we do not expect a material impact of this change on Breezeline's revenue and EBITDA performance, and we expect the impact of ACP on our subscriber numbers to be relatively short-lived. Overall, Breezeline has -- Breezeline added 7,900 Internet subscriber losses in the quarter, which included 3,300 ACP subscriber losses, 2,100 of which were in Ohio. In Ohio specifically, the loss of ACP, along with competition for entry-level services, contributed to lower-speed internet subscriber losses. However, we continue to experience improving subscriber metrics for higher speed, higher margin customers. Improved network performance coupled with upgraded products are contributing to rising customer satisfaction levels. Additionally, the launch of our IPTV product in the market continues to result in improving video subscriber metrics versus last year. Turning to our Radio business, Cogeco Media reported another quarter of year-over-year growth in revenue, with radio advertising sales modestly rebounding, and our digital advertising solutions, social media formats, and revamped studio facilities now providing meaningful contributions to revenue growth. Furthermore, we're pleased to report that Cogeco Media stations remained at the top of the ratings again this quarter, which contributed to our positive momentum. Now, let me turn the call over to Patrice who will provide more details on our financial performance for the quarter.
Patrice Ouimet: Thank you, Frederic. So in Canada, Cogeco Connexion's revenue increased by 2.2%, driven mainly by higher Internet service subscriber base for the Cogeco and the Oxio brands and contribution from a recent acquisition. Adjusted EBITDA increased by 2.9% due to revenue growth partially offset by higher sales and other operating expenses to drive subscriber growth. In the U.S., Breezeline's revenue remained stable in constant currency as higher revenue per customer and a better product mix were offset by a lower overall subscriber base and a growing proportion of customers subscribing only to Internet services. Adjusted EBITDA increased by 3.9% in constant currency, driven by cost reduction initiatives, operating efficiencies and shifts to higher margin products. Turning to our consolidated numbers for Cogeco Communications. At the consolidated level, revenue rose by 0.9% in constant currency and EBITDA increased by 3.9%. Revenue growth was driven primarily by growth in the Canadian segment, while adjusted EBITDA growth was due to increases in both the U.S. and the Canadian segments, along with benefits from the timing of spending at the corporate level. Diluted earnings per share declined by 22.7% due to restructuring costs, primarily related to our new organizational structure, partially offset by fewer shares outstanding resulting from the share buyback we made in December. Capital intensity was 22.4% compared to 22.9% last year. The decrease is primarily due to higher revenue and a slightly lower CapEx spend related to the timing of U.S. expansion projects. Excluding network expansion projects, capital intensity was 19.2%. Free cash flow in constant currency declined by 16.3%, largely due to restructuring costs recorded in the quarter. Our net debt to EBITDA ratio was 3.5 times at the end of the quarter, flat with Q2 despite the $152 million final payment we made in the quarter for a spectrum acquired last fall. We continue to target a net debt to EBITDA ratio in the low returns range over time and we declared a quarterly dividend of $0.854 per share. At Cogeco Inc., revenue in constant currency increased by 1%, and adjusted EBITDA grew by 3.8% as a result of Cogeco Communications' performance. Media operations' revenue increased by 3.3% due to ongoing strong listener engagement across many of our stations and positive contributions from digital advertising revenue. Diluted earnings per share increased to $0.0197 from a loss of $2.22 a year ago. And last year we included a non-recurring impairment charge that was taken related to our radio operations. We also paid a dividend of $0.854 per share at Cogeco Inc. which was declared for the quarter. Now, let's discuss the Cogeco Communications' financial guidelines for fiscal '24, which we first provided to investors in November. With Q3 results in line with our expectations, we are maintaining our annual guidelines. As relates to Q4, we currently expect consolidated revenue to be stable in constant currency and adjusted EBITDA growth to be in the low-single digit range. Capital intensity is anticipated to be approximately 500 basis points above Q4 of last year. At Cogeco Connexion in Canada, we expect both Q4 revenue and adjusted EBITDA growth to be in the low single digits compared to last year. At Breezeline, we expect a low-single digit decline in revenue and a low-single digit increase in EBITDA. Below the EBITDA line, at the consolidated level, we expect our Q4 financial expense to remain similar to Q3, while our depreciation and amortization expense may be slightly higher than last year due to foreign exchange. Additionally, our transformation program is expected to result in some further restructuring costs in Q4, although they should be lower than the Q3 restructuring costs we just announced. And finally, we continue to anticipate that Cogeco Communications' dividends will represent a payout ratio of 39% as a percentage of free cash flow in fiscal '24 at the midpoint of our guidelines, or 27% when we exclude network expansions. At Cogeco Inc., we have issued the same financial guidelines as Cogeco Communications and are maintaining such guidelines. And now Fred and I will be happy to take your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Maher Yaghi of Scotiabank. Please go ahead.
Maher Yaghi: Great. [Foreign Language] Good morning. I just wanted to ask you two quick clarification question before I ask you my main question. The first one is you reported 2% top-line growth in Canada. Can you let us know what the growth was excluding the Oxio and the NRBN acquisition? And the second one is related to the restructuring charges in Q3. When should we start [Technical Difficulty]?
Patrice Ouimet: Are you still there, Maher? Well, perhaps just to make sure Maher is on when we answer, I think, operator, maybe we should move to another question, and we'll come back to Maher after.
Operator: Your next question comes from Aravinda Galappatthige from Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Thank you for taking my question. I wanted to start with the U.S. Obviously, one of the encouraging, I think, signs about the quarter was the strong EBITDA growth there. And your comments, Patrice, suggest that that can continue into Q4. When you sort of -- when we try to think a little bit beyond that, with some of the customer uptiering that you talked about, perhaps the benefit of mobile. I know that you also took a price increase earlier, maybe a few months ago. How do you sort of see the prospects of maybe moving that up towards sort of that mid-single-digit range that you used to have in the medium to long term, also supported also by any network expansion that you would undertake, maybe just any comments you can share on that front to start with?
Patrice Ouimet: Sure. Good morning. So we -- yeah, we had a good quarter, and we had provided also an idea in the previous call that we would -- should be there normally in Q3, and it's about the same in Q4 as well. There's different elements in there. Price increases are one, but obviously, there's been a lot of work done on the cost structure. One example is the chatbot we were talking about, that's just starting, but we have many projects on the go, and this will continue in the future. Obviously, an element, if you go back a few years, an element that is part of the equation as well, is subscriber growth. We're not in that mode today, but obviously working hard to get there. And I think it's an industry-wide phenomenon right now in the U.S. That being said, when you look at Ohio, which is the area where we have lost customers on a regular basis in quarters, if you exclude the ACP loss this quarter, actually, it was the best quarter we've had since we made the acquisition. So as we work our way to a positive number in Ohio and in other areas as well, that will contribute. But we have, I would say, given the transformation plan that we have, that will be over a few years that Fred was mentioning, this will provide benefits both on revenue and the cost in the future.
Aravinda Galappatthige: Thank you. And just my second question on Canada. I know that you've sort of seen pretty good broadband loading over the last several quarters. I know that this quarter, year-over-year was a little bit light. I was wondering if there's anything sort of unusual recognized that, it can't always be that there are factors that kind of cause these vacillations, but anything that stood out in Q3? And how should we be thinking about Q4, which is obviously seasonally of the bigger -- the bigger quarter from a net ads perspective?
Frederic Perron: Yeah. Hi. It's Fred here. Thanks for the question. Nothing unusual in Canada is what I would say. As you pointed out, we have several quarters of solidly positive subscriber growth in Canada. What happened in the quarter specifically, there are a couple of factors. One of them is that some of our Quebec rural expansion programs have already reached a very high penetration level. So we saw a bit of a deceleration there. But if you look at the market more broadly, it's been competitive for quite some time and it remains competitive, but nothing unusual. We do get from time to time questions about FWA in Canada. I can share with you that we're not seeing an impact of FWA at all in our results so far. And more broadly, what I'd say is our PSU growth engine in Canada is quite diversified. We have both the Cogeco and Oxio brands. We have rural network expansion. So we think that that engine -- that growth engine is robust. And to your point about Q4, early to tell. We're having a decent move season so far and we'll see how the rest of the quarter goes.
Aravinda Galappatthige: Thank you. I'll pass the line.
Patrice Ouimet: Thank you.
Operator: Our next question comes from Maher Yaghi of Scotiabank. Please go ahead.
Maher Yaghi: Great. Thank you for putting me back on the queue. So I was -- I just wanted to ask you two clarification questions before I ask you my main question. So the first one is the 2% growth in Canada on your top-line that you reported. Can you let us know what was your organic growth, excluding Oxio and the NRBN acquisition? And related to the restructuring charges, when should we start to see the impact of or the benefit from these restructuring charges on your margin side -- on the margin side? Those are just the clarification question. I'll ask you then after my main question. Thank you.
Frederic Perron: Yeah. So, I'll start with the first one, Maher. In terms of Oxio, we've basically had it for a year now, so we don't really break it out because that's just part of the normal operations and we have apples-to-apples. But NRBN is a new one this quarter versus last year. It's quite small, but I would say the revenue would have been about neutral if it were not for the NRBN acquisition. And on the benefit, Patrice?
Patrice Ouimet: Sure. Maher, more generally on the restructuring charges. What we're doing here is we're giving ourselves some operating leverage to reinvest in future growth. So it's a little bit soon to start disclosing particular savings. But what it will do is it will let us invest in areas where we were previously under-indexed, such as marketing investments, data scientists, digital to reignite our top-line growth and bottom-line growth.
Maher Yaghi: Okay. Great. And so my main question is on the U.S. side, can you let us know what is your involuntary churn timing in the U.S.? Trying just basically to figure out when do you proceed into disconnecting a client after they fail to pay -- trying to figure out those ACP customers when they will be flushed out of the system. And basically also, I wanted to ask you, when do you expect to return to a sustainable growth path on broadband in the U.S.? You seem to see that you're showing improvement in your underlying operation. Just trying to figure out if you have a timeline for us when we can expect you to report sustainably -- sustainable growth on broadband subs in the U.S.? Thank you.
Frederic Perron: Hi, Maher. It's Fred again, and I'll take the two questions and, Patrice, feel free to add. So, on the impact of ACP on churn, you will see an impact again in Q4, and it will be pretty much done. After that, it will only be just a residual impact beyond that. But we're already seeing even within the quarter, that it's starting to ease off. And, of course, as we've mentioned before, the impact of ACP on our revenue and EBITDA is not material. As it relates to broadband growth in the U.S., I'll separate Ohio from the rest. The rest is up and down. It depends on market dynamics. And we're always aiming to balance subscriber growth with value creation. As it relates to Ohio, we are continuing to improve in Ohio and reduce our losses. So if you strip out ACP in Q3, for example, we had lost 2,200 internet subscribers in Ohio, for example, which is a slight continued improvement versus previous quarters. Our goal is still to return positive in Ohio. ACP muddied the waters a little bit here, but this is still our goal in the medium term.
Maher Yaghi: Some of your peers have 80 to 85 days disconnection programs in terms of billing, did you have similar timeframes in the U.S.?
Patrice Ouimet: Not to my knowledge, Maher.
Maher Yaghi: Okay. Thank you.
Operator: Your next question comes from Vince Valentini of TD Cowen. Please go ahead.
Vince Valentini: Last question, you said that there was 3,300 subscriber impacts from ACP in the third quarter. I just wanted to clarify that is already removed from the billing system and removed from the subscriber numbers you reported today?
Frederic Perron: Yes, Vince. And 2,100 of those were in Ohio.
Vince Valentini: Thank you. Second, maybe we can discuss the definition of the word stable for a second. Your guidance for the full year for stable EBITDA, I think I would have interpreted previously as basically flat with $1,421 million last year. By my math, you need to be down 1% in the fourth quarter to get to flat, and you're signaling that the fourth quarter in U.S. and Canada and consolidated is up low single-digits. So I just want to make sure I'm not misinterpreting you. You think full-year EBITDA will be higher than full year 2023?
Patrice Ouimet: Yes. That's right, Vince. And our guidance, obviously when we provide a range, there is a margin to be under or over the midpoint of the range. In this case we have stable, which means being around zero. But I agree with your comment. Given what I said in the prepared notes, we should normally have some upside versus being at exactly at zero on EBITDA for the full year.
Vince Valentini: Thanks, Patrice. Would that same range within your range hold true for the free cash flow guidance? It seems to me like you have to have a pretty bad fourth quarter. Like you have to be down 20% year-over-year to get to even the best end of your guidance range of minus 5% to minus 15%. Is it possible you're trending to the very best end of that range, or even better?
Patrice Ouimet: Actually -- so we should normally do well for free cash flow versus the overall range that we have. That being said, we do expect to have a lot of CapEx in Q4, and that's why in the prepared notes I referred to 500 basis points more than last year. So yes, free cash flow will be down year-over-year because of this timing of CapEx in Q4, but still the overall free cash flow year-over-year for the full year, should trend well within that range.
Vince Valentini: And maybe the last one. I'll just try to unpack that for a second then is what's causing CapEx to go up in the fourth quarter? Is this something timing issues in the U.S., or is it Ontario expansion in Canada or something else?
Patrice Ouimet: Yeah. It's primarily Ontario. So these things can be spotty. There's also seasonality. Obviously, there's times where you can build easier than others. Obviously, middle of winter sometimes is tougher, so it's primarily related to that.
Vince Valentini: And sorry, further, unpack that, Patrice, just to make sure I understand. The subsidies from the government in terms of timing are not necessarily 100% correlated with when you spend the CapEx. So you've got a bit of seasonality boost in the fourth quarter. And the money -- refunds from the government may have already been received or they may come at a future period. So there's not necessarily a direct offset in Q4?
Patrice Ouimet: Well, so we actually accrue for it because we have very good visibility on it. So from free cash flow standpoint, which that does -- free cash flow does not include the movements in working cap, it would not be true. From a real cash basis, sometimes there's a delay, so it goes through our receivables. So we do accrue the CapEx on a net basis with the subsidies.
Vince Valentini: Excellent. Thank you.
Patrice Ouimet: Thank you.
Operator: Your next question comes from Stephanie Price of CIBC. Please go ahead.
Stephanie Price: Good morning. Thank you. So Cogeco announced a new North American operating model during the quarter. Just hoping you can talk a little bit about the thought process behind the switch from a regional focus and how you think about the cost synergies, the upside from cost synergies as you look at the more consolidated model?
Frederic Perron: Hi, Stephanie. It's Fred. I'll be happy to take your question. This restructuring is something we see a lot of potential in, not only from a cost perspective but also from a performance and overall accelerating growth perspective. The basic premise of it is that functional debt is the name of the game at this point. And we saw an opportunity to create larger meteor centers of expertise on key topics that will ensure our competitiveness on an ongoing basis. So examples of that would be marketing, digital product, and analytics. And the first output of that, or the first example of that is the chatbot that I talked about earlier that we're already seeing over delivery in terms of results. So this is a move not only to reduce cost but also to accelerate our performance. But we're quite optimistic about it. From a cost perspective, there will be cost savings coming out of this, but as we mentioned before, a lot of those savings will be reinvested in future growth in areas where we'd previously under-indexed versus competition.
Stephanie Price: Great. Thank you. And then on the U.S. MVNO, congrats on getting that up and running. Hoping you can talk a little bit about the margin and the ARPU impact that we should be thinking about as this rolls out?
Patrice Ouimet: Sure. So we're just starting, right? So this year there's a -- we started to onboard customers, but it's still limited. We are planning to see some additional customers in the coming year. Obviously, we'll come out with guidance when we report in October. That being said, given that we're starting from a base of zero, it will not necessarily be very meaningful in terms of revenue next year. But we can talk a little more about it at that point. From an EBITDA standpoint, given that it's a very externalized system. So we use a third party to do the technology stack and the third party to have the infrastructure. We're basically renting everything. Initially, it's not something that is contributing to profitability. At the same time, it's not very expensive to operate as most of our costs are tied at the customer level as opposed to being fixed. So hopefully that gives you a view, but we'll be able to talk more about this as we move forward, and we get more critical mass and mobility.
Frederic Perron: And, Stephanie, I would just compliment by saying that again, it's minimum investment, as Patrice said. And really the business case is on increasing customer retention on our wireline business and increasing new customer attraction from segments of customers that are shopping for a bundled offer that we could not attract before. And then on a standalone basis, the wireless business could become accretive in the medium to long term.
Stephanie Price: Great. Thank you very much.
Operator: Your next question comes from Drew McReynolds of RBC. Please go ahead.
Drew McReynolds: Yeah. Thanks very much, and good afternoon. A couple for me. Just expanding on the Atlantic broadband margin trajectory for a sec. Frederic and Patrice, you've been pretty clear on cost efficiencies, combining the two operations, but also reinvesting some of that for top-line growth. So just wondering how we should treat the year-over-year pop-in margin here for Q3, the extent to which that can continue, and then are we on a new level up when you look into fiscal 2025 with respect to the U.S. margin? And then secondly, on operating leverage, maybe fewer, Frederic, we're seeing other cable companies certainly struggle with operating leverage, obviously with a sluggish top line. Just wondering what your working assumption is on the importance of returning to positive top-line growth on the top-line as it pertains to kind of flow through into margin versus just being content with a gradual margin expansion, which obviously will be driven by mix and all the other stuff you're doing to boost margin underneath? Thank you.
Patrice Ouimet: Great. So on the first question, you're right, the EBITDA margin has increased by about two points in the U.S. year-over-year. So we -- this quarter we're at 48.4%. When we look at the next few quarters, make an assumption of 48% plus or minus could be a reasonable number to use. Obviously, the timing of expenses can change things over time, but I would say we are not foreseeing to, let's say, go back to the margins we had last year. The new normal is probably closer to where we were in Q3, around 48%.
Frederic Perron: Hi, Drew. On the second part of your question, I would say it's all about balance. So I want to comfort you that we're pretty disciplined and we'll be sure that we don't overinvest. We're also proud of the margins that we're generating. So it's all going to be about balance. Our goal here is to just make sure that there are some areas where we have historically under-indexed versus competition. So things like digital marketing and analytics. So what we are playing with at the moment is bring ourselves back to parity to make sure that we get the full share of growth that we can go and get. But again, I want to reassure you that it's going to be done in a balanced way.
Drew McReynolds: Understood. Thank you for that.
Operator: Your next question comes from Matthew Griffiths of Bank of America. Please go ahead.
Matthew Griffiths: Good morning. Thanks for taking the question. I just wanted to maybe circle back on ACP just for a minute. I know it's a small percentage of subs and not material to the revenue, but just on the pace of what you expect for Q4 of losses, if you could -- because it seems as though in this quarter, just upon receiving kind of notification, 13% or 10% or so percent of the ACP base disconnected. And so what -- and you've already said that you're starting to see at ease. So do you have any kind of comments around the size of the disconnect that you're expecting in Q4 that you can share? And then separately on the efficiencies and this transformation that you're embarking on over the next many quarters, couple of years, it sounds like. There's a real balancing of growth versus margin benefits to this, and I was wondering if you could provide some quantity. Do you expect margins? Are you targeting a margin improvement of some sort, should it maybe be back-end loaded if we're thinking about improvements? Or maybe you anticipate that all of this will be reinvested? Margins will not materially change, but you're hoping to get top-line improvement. Just how should we see it working out? What are the targets that you might be able to share, broadly speaking, obviously not expecting specifics, which is where our heads should be when we're thinking about how you're going to execute on this? Thanks.
Frederic Perron: Hi, Matthew. Thank you for the question. I'll take the first one. I'll let Patrice take the second. On ACP, not much more to add other than to reiterate that we'll see another impact in Q4, and the impact should ease off in the following quarter. Getting more precise or granular than this would probably be overly granular at this point. But when you look at the customer behavior, Matthew, we're talking about in a lot of cases lower-income customers who, if it's not working for them, if the new price is not working for them, they will tell you almost immediately. So that combined with the trend we're seeing in the fourth quarter results in the summary that I just gave. Patrice, for the second question?
Patrice Ouimet: Yeah. So on the transformation, obviously, it's a bit early to try to quantify. We wanted to provide an idea that what we took as a charge now will largely be reinvested, and that's to grow both top-line and invest in things that will create cost synergies as well as part of our plan. These things can start paying off as soon as you do it. Sometimes it takes a bit longer. So I think as we head into the fall and we talk about guidance for the next year, we will be able to provide a bit more color on this, but it'd be a bit early at this point on this call.
Matthew Griffiths: Yeah. Fair enough. And maybe just a quick follow-up. So should we expect as this program progresses, like additional restructuring charges in the future, or is the amount that you took this past quarter kind of the sum total of it and that's all there is to the program?
Patrice Ouimet: Yeah. So there will be some more in Q4. It will not be to the same extent, and that should be it. So it's quite a change in the way we're going to be operating. It takes a bit of time to put in motion. So that's why there's still going to be some in Q4, but again to a smaller extent.
Matthew Griffiths: Okay. Great. Thank you so much.
Patrice Ouimet: Thank you.
Operator: Your last question comes from Jerome Dubreuil of Desjardins. Please go ahead.
Jerome Dubreuil: Thanks for taking my question. Another one on the restructuring. Obviously, you had a good quarter in terms of margins, but I'm interested into what should be -- what should we expect in terms of a normal rate for restructuring in the future? You talked about the timeline in the next quarter, but what should we be expecting on an annual basis as a run rate for restructuring going forward?
Patrice Ouimet: Yeah. So -- hi Jerome. I would say when we're talking about the main charge, we took this quarter, which is largely severances and accrual for severances. This is not something we do on a regular basis. So we have a program right now, and there will be some in Q4, but fast forwarding into next year, there could always be some, but it's not something that's planned right now. So that should be minimal. That being said, when you look at the detailed notes in the financial statements, there are three lines included. There are some costs related to integration of new IT systems. These are things that used to be capitalized before that are now expensed under the new rules. So we have some of that every year. It's not, as you can see this quarter, it was a few million dollars, but that normally we should see more of that in the future. But I would say also, it's not like we have a major plan to change large systems at this point. We're going to make a lot of small investments to make the business more efficient, but nothing of major scale that's planned right now.
Jerome Dubreuil: Great. Thank you. And then the next one is on the number of homes passed. Noticing a slowdown both north and south of the border. Now we're expecting a bit higher CapEx in the fourth quarter. We had higher CapEx in Canada in the quarter, year-on-year, but lower homes passed. Kind of suggest there, there's a bit of money put to work into wireless or something else. Maybe should we expect, along with the higher CapEx in Q4, a reacceleration of homes passed maybe or these are some invested elsewhere?
Patrice Ouimet: Actually, so because this is tied to the -- primarily to the Ontario build, as you know, it takes time to actually build the infrastructure and be ready to connect homes. You should not see a link between the CapEx in Q4 and the homes passed. But the homes passed will come for sure. But that will come later. That will be next fiscal year.
Frederic Perron: And, Jerome, I'll simply add first for wireless, our intent does remain to do wireless in the lightest possible capital way. And as it relates to network expansion, I reiterate that the results we're seeing on the Quebec side in terms of penetration are ahead of expectations. And there's good reason to believe that that will be the same in Ontario as well.
Jerome Dubreuil: Yeah. That's good to hear. And just maybe to clarify. So homes passed next year in Canada, maybe not as high as 2024, but a reacceleration from the level we've seen in the third quarter?
Frederic Perron: Yeah. We'll probably be more precise when we get into guidance, but we do expect to grow homes passed in a material fashion still in Canada next year, which will come from the delivery of some rural builds we're doing right now. Those are the subsidized ones. We also do some unsubsidized construction, typically where we are operating currently. So there will be a mix of the two, and there will be some of the subsidized networks that will be released in fiscal '26 as well. So it takes a bit of time to build this. And it's a -- there are many projects, obviously, we go city by city, and so you'll see some deliveries in '25 and '26.
Jerome Dubreuil: Perfect. [Foreign Language]
Operator: That concludes our question-and-answer session. I'd like to turn the conference back to Mr. Patrice Ouimet for closing remarks.
Patrice Ouimet: Great. Well, good talking to you today. And we're available if you have any questions. And looking forward to speaking again in the fall. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.